Operator: Greetings, and welcome to the National Storage Affiliates First Quarter 2022 Conference Call.  As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, George Hoglund, Vice President of Investor Relations for National Storage Affiliates. Thank you. Mr. Hoglund, you may begin.
George Hoglund: We'd like to thank you for joining us today for the first quarter 2022 earnings conference call of National Storage Affiliates Trust. On the line with me here today are NSA's CEO, Tamara Fischer; COO, Dave Cramer; and CFO, Brandon Togashi. Following prepared remarks, management will accept questions from registered financial analysts.  In addition to the press release distributed yesterday afternoon, we furnished our supplemental package with additional detail on our results, which may be found in the Investor Relations section on our website at nationalstorageaffiliates.com. On today's call, management's prepared remarks and the answers to your questions may contain forward-looking statements that are subject to risks and uncertainties and represent management's estimates as of today, May 5, 2022. The company assumes no obligation to revise or update any forward-looking statement because of changing market conditions or other circumstances after the date of this conference call. The company cautions that actual results may differ from those projected in any forward-looking statement. For additional detail concerning our forward-looking statements, please refer to our public filings with the SEC. We also encourage listeners to review the definitions and reconciliations of non-GAAP financial measures such as FFO, core FFO, and net operating income contained in the supplemental information package available in the Investor Relations section on our website and in our SEC filings. I will now turn the call over to Tammy.
Tamara Fischer: Thanks, George, and thanks, everyone, for joining our call today. We had a great first quarter, and our outlook for 2022 is very positive. But before we get to that, I'd like to first acknowledge and thank our team, including our PROs and their teams because it's really their effort and focus that drives our continued exceptional performance. Overall, business is excellent and self-storage fundamentals remain at all-time record levels. The sector is well positioned in an inflationary environment as a needs-based service with monthly leases that allow operators to adjust rates dynamically at a rent payment that represents a relatively small portion of our customers' disposable income. The positive momentum we experienced in the first quarter and through April was substantially stronger than we anticipated. This led to our fourth consecutive quarter of same-store NOI growth north of 20%. Growth in core FFO per share approaching 40%, and a meaningful increase to full-year guidance. We continue to benefit from our differentiated PRO structure, the diversification of our portfolio and the strength and resilience of the self-storage sector. Now given how favorable fundamentals continue to be, it's no surprise that investor demand for self-storage properties remains elevated at unprecedented levels, resulting in historically low cap rates. However, while it's still too early to quantify, in the past couple of weeks, we've started to see buyers pull back, given the disconnect between seller expectations and today's rising interest rates and overall cost of capital. We'll see if this leads to an easing of the cap rate compression that we've experienced over the past couple of years. On our last earnings call, we highlighted that we fully expected to slow down our acquisition volume this year compared to last year's record pace. We recognized then and it's still true, the need to focus on digesting the $2.2 billion of assets we acquired last year, about half of which was acquired in the fourth quarter so that we're able to fully recognize the embedded growth inherent in those assets. We're also focused on the integration of the Northwest Self Storage assets that transitions into our corporate managed portfolio effective January 1st this year as a result of our Northwest PRO retirement. And the quarter played out pretty much exactly as we expected. We acquired 12 stores valued at approximately $93 million. Cap rates on our first quarter acquisitions averaged 5.3%. Meanwhile, our focus on realizing net embedded growth in our 2021 acquisition assets contributed to our first quarter results and to our healthy upward revision to guidance. Subsequent to quarter end, we closed with one of our JV partners on the acquisition of a high-quality 7 property portfolio, strategically located in the Houston MSA and valued at $208 million. This is a strategy we've discussed is enabling us to acquire high-quality assets and grow even in a low cap rate environment. As a reminder, we earn acquisition and management fees, as well as an incentive promote on our JV acquisitions, which boosts the return on NSA's invested capital. This makes acquisitions within JVs an attractive option when faced with a low cap rate environment and is yet another benefit of our diversified capital platform. Overall, I'll say it again, it's a great time to be in self-storage as the results surpassed even our own expectations and fundamentals remain strong. Our exceptional first quarter results and continued momentum into the second quarter furthered our conviction to meaningfully increase full-year guidance, which Brandon will address in his comments. I'll now turn the call over to Dave to provide color on what we're seeing on the ground and with new supply. Dave?
David Cramer: Thanks, Tammy. The positive momentum that we experienced in the fourth quarter continued into the first quarter and has only gotten stronger as we progress into the spring leasing season. We continue to be pleasantly surprised with the strength and durability of consumer demand and our ability to continue to work our revenue management practices. We ended the first quarter with same-store occupancy up 140 basis points over the prior year. Our occupancy is following normal seasonal trends and declined by 20 basis points from year-end to 94.8% at the end of the first quarter. Occupancy at the end of April was 95.1%, consisted with the expected seasonal increase as we enter the spring leasing season. We were able to hold discounting and concessions well below historical averages at 2.2% of revenue. We continue to have great success with our revenue management strategies. Our Street rates averaged 22% higher in the first quarter this year compared to a year earlier. Our rent roll-up in the first quarter remained positive at about 1%. The fact that it remained positive in the non-peak season when it would normally see a rent roll-down is impressive. As we enter our peak season, the rent roll-up has now widened to slightly above 5% at the end of April. Our contract rates continue to grow and were up about 14% for the first quarter. As the year-over-year gap in occupancy narrows, we continue to offset it with steadily growing contract rates. Turning to new supply. We continue to see improvement. Rising interest rates and increased inflationary pressures are driving up construction costs and further restraining new supply. The percentage of our stores having a new competitor in a 3- and 5-mile radius declined a couple of hundred basis points to 27% and 45%, respectively. I'll now turn the call over to Brandon to discuss financial results and balance sheet activity.
Brandon Togashi: Thank you, Dave. Yesterday afternoon, we reported core FFO per share of $0.68 for the first quarter of 2022, which represents an increase of 39% over the prior year period. The impressive year-over-year growth was driven by a combination of record acquisition volume over the past 4 quarters and double-digit same-store growth, both facilitated by our differentiated PRO structure and supported by our focus on Sunbelt and secondary markets. Same-store NOI increased by 22.2% in the first quarter of the prior year, driven by a 16.6% revenue increase, combined with a 3.1% increase in property operating expenses. Same-store occupancy averaged 94.7% during the quarter, an increase of 250 basis points compared to last year. Regarding OpEx, same-store growth came in better than expected due primarily to a 50 basis point decrease in payroll, a 2.1% decrease in marketing costs and just 3% growth in property taxes compared to first quarter 2021. A decline in payroll was partially attributed to a longer time to backfill open positions and also reduced store hours on the margin. Now moving on to guidance. Results for the first quarter were better than expected, including our non-same-store pool performing ahead of expectations and the JV acquisition that we announced further contributes to core FFO per share growth. All in all, there were a handful of drivers that lead to the meaningful increase to our guidance. We expect higher growth levels in the first half of the year as comps become more challenging in the second half. Taking all of this into consideration, we update full-year 2022 guidance with key highlights as follows: core FFO per share of $2.80 to $2.85, which at the midpoint represents a 4% increase from our previous guidance and 25% growth over prior year. Same-store revenue growth of 11% to 13%, a 325 basis point increase from previous guidance at the midpoint and NOI growth of 14% to 16%, a 500 basis point increase from previous guidance. Additional assumptions are outlined in the earnings release. Turning to the balance sheet, where we remain strongly positioned. During the quarter, we issued $17 million of OP equity in conjunction with acquisitions and closed the remaining $125 million tranche of our previously announced private placement. Subsequent to quarter end, Kroll Bond Rating Agency upgraded the credit rating of our operating partnership to BBB+ from BBB flat, reflective of our conservative balance sheet, multiple options for capital and strength of the self-storage sector. At quarter end, our leverage was 5.7x net debt-to-EBITDA towards the low end of our targeted range of 5.5x to 6.5x. We are very comfortable with our balance sheet with no maturities through 2022, just 18% of our principal debt, subject to variable rate exposure and $185 million of availability on the revolver currently. We're committed to maintaining a conservative leverage profile and healthy access to multiple sources of capital. Thanks again for joining our call today. Let's now turn it back to the operator to take your questions. Operator?
Operator:  Our first question comes from the line of Samir Khanal with Evercore.
Samir Khanal: I guess my question, Brandon or Tammy, is around the NOI guidance. I mean, you raised NOI guidance by about 500 basis points, just 2 months after, I guess, providing initial guidance in February. I guess what's changed here that made you comfortable raise by that magnitude, knowing that we're still going through the leasing season, through the summer here and then there's still, of course, the uncertainty about the second half and macro pressures here?
Brandon Togashi: Samir, it's Brandon. Yes, thanks for the question. So a couple of things. The first quarter certainly was a little bit better than we thought. But in February, we have a good read on that, but it did come in a little bit better. So then really, it is kind of what you hit on, which is the pace of the deceleration for the remainder of the year. Based on the last 2 months and what we're seeing currently, we just have a lot more conviction about how the balance of the year may play out, obviously, within those ranges that we've given. Dave hit on some of those fundamentals most recently. You're right. There's certainly the critical leasing season that we have in front of us. But when you think about, for example, the in-place rate changes that we're processing to existing customers, we've kind of made those decisions for a good chunk of the second quarter. So, that gives us a good read on how we can expect that to play through subject to the customer response. So that -- I mean, that's the biggest fact. There is just that pace of deceleration on the same-store growth.
Samir Khanal: And then as a follow-up, are you getting any sort of pushback? Just trying to get an idea of customer behavior here, right? I mean, again, it's the pressure points for the consumer with inflation and higher gas prices at this time?
David Cramer: Good question, Samir. It's Dave. We haven't had any -- everything we're monitoring and the responses we're getting on our feedback surveys. You always get a little bit of noise around rate increases, but nothing has changed our opinion on our revenue management strategies. And everything we're doing seems to be being accepted fine. So, you notice we're at high occupancy levels. We're in a current rent roll-up situation with our Street rates versus contract rate. It's given us a lot of confidence to continue forward with our strategies, and we're not getting a lot of pushback or a lot of feedback.
Operator: Our next question comes from the line of David Balaguer with Green Street.
David Balaguer: Just wanted to touch on occupancy. Amongst your peers, you seem to be the only one that had increased average occupancy and ending occupancy compared to prior year. Just want to get a better idea of what you're anticipating for the remainder of the year based on how occupancies trended. Should we be thinking of this as roughly flat until we get late in the year and see maybe more seasonal patterns?
David Cramer: Good question. This is Dave. We feel like we're back into really more of a seasonal trend right now. We came off the non-peak season in the winter months, and we saw just a little bit of decrease in occupancy and we saw April tick right back up. We feel like we're going to go into the summer months and see that normal spike in occupancy, which should allow us to drive some Street rate growth and continue to work on contract rents. And then as the back half of the year comes back, we see more of a normal seasonal pattern as we finish out the fourth quarter, where you'll see us come off 200 basis points, 250 basis points off or high in the summer months by the time we finish the end of the year.
Brandon Togashi: And David, this is Brandon. The 95.1% end-of-month occupancy that Dave gave earlier for April, that's a 40 basis point spread positive over prior year. So it was 140 basis points at the end of March. So, we're already seeing that compressed. And that just has to do with the fact that last year, in the first quarter, our same-store pool grew occupancy from 92% at the start of the year to a peak of 96% plus or close to 97% in the summer months. So, everything is playing out as we expected, where we have positive spreads to start the year. And then going forward, as Dave mentioned, it could be flat or even negative in the back half.
David Balaguer: Got it. That's helpful. And just flipping to the inflation side. Obviously, you've been dominating headlines recently. Just given your market exposure, generally lower household income markets compared to some of the others and the aggressive nature of inflation, are there any markets where you have some concern on inflation impact to sort of your ability to continue pushing rents? Or given the lower price nature in those markets, is there no real relative difference?
David Cramer: This is David again. Good question. We don't have any markets that are really concerning at this point in time. One thing about self-storage is it's month, month leases. We can be dynamic on how we price our Street and what we do with contract rates, but it's really a low cost, if you think about overall ramping of the self-storage compared to your rent charges and some of the other things that are in the household budget. And we're a very affordable option for folks, whether they're expanding or decreasing their footprint of size of what they have in their apartments housing. And I think what's really offsetting some of these inflationary things is there's a lot of other factors going on out there in the economy right now. There's still a lot of transition. There's a lot of movement of houses, a lot of movement of people moving around in rentals, transition around the country. I think all those things continue to support our sector and certainly support the markets we're in and where we're positioned very well through the Sunbelt states and some of these markets that are seeing transition. So at this point in time, we don't have any fear around the inflationary pressures that we're seeing in the country.
Operator: Our next question comes from the line of Jeff Spector with Bank of America.
Jeff Spector: I had one follow-up on the comment that buyers are pulling back in recent weeks. I guess, is there any particular type of buyer you're seeing in particular that's pulling back? Or is it just kind of across the board?
Tamara Fischer: Good question, Jeff. I would say that there is not a particular type of buyer. And I would also say that my comment was somewhat anecdotal. So it's a little bit based on our own experience and what we're hearing from brokers and some direct conversations with other potential buyers. So, I don't think I have much more color on it than that, to be perfectly honest with you.
Jeff Spector: Okay. And then I was -- just another follow-up, I guess, on supply. But Dave's comments were very interesting, a decline of a couple of hundred basis points. Is this just delays or projects getting canceled like? It's pretty amazing that you're seeing a decline in your markets?
David Cramer: Yes, that's a good question. This is Dave again. I think 2 things are going on. So, we've certainly hit the peak of new supply, and we hit that last year -- a couple of years ago, honestly. And we had a declining amount of new supply hitting our markets to begin with. And the pandemic certainly accelerated the fill-up of that supply, and those markets are now benefiting from this new amount of demand and our ability to really drive performance in those markets. And so as we see it, you have no -- the new amount of the supply that's coming has diminished. So the amount of new starts are less than they were, and that's from multiple factors. It's pressures around getting projects approved. It's pressures around affording product. We talk about construction costs going up and delays and getting approvals from cities. So, we think it's slowed the amount of new supply that's coming our way, and we're also cycling off the peaks. And so if you think about it in those 2 terms, our markets would see less new supply and the length of time of that new supply that's now filled up is really not the pressures that we would have seen a few years ago and even last year. We do think supply will come. We think it will be tempered versus maybe previous last run-ups for a lot of the factors we talked about. It's harder now to buy land. It's harder now to get projects approved. It's more expensive to get them completed. And so I think those pressures will continue to put headwinds in front of new supply.
Operator: Our next question comes from the line of Smedes Rose with Citi.
Unidentified Analyst: This is  on for Smedes. With respect to your same-store NOI guidance increase, are you seeing that play out in your -- in the geographies like -- versus your prior expectations? Are you seeing better performance in Sunbelt markets or coastal urban markets or vice versa?
Brandon Togashi: Yes. This is Brandon. I mean, we're seeing the growth well distributed across the entire portfolio. That also includes the new stores that were added to the pool, the legacy pools for last year and the year before that we report in the documents. We're seeing it just kind of pervasively. Certainly to the comment that I made in the opening about our focus on secondary and Sunbelt markets, we -- as we've seen in the last few years, on a relative basis, those are certainly outperforming. Atlanta, for example, has been particularly strong. Florida markets, the West Coast of Florida, despite having some concern about supply inventory coming, eventually, continues to perform really strongly. So the storyline with our portfolio that you've heard from us over the past several quarters continues to hold true and play out.
Unidentified Analyst: Okay. And then just a follow-up on the earlier supply comments. With the rates increasing, have you seen any changes from banks in terms of what they're willing to lend to developers? You might be penciling out different return expectations giving rising interest rates?
David Cramer: There's certainly -- this is Dave. Good question. There's certainly more and more pressure on underwriting to see if the project will pencil out. Everything is more expensive. So, we've seen rate increases as far as consumer rates and our ability to have good success, but the rising interest rate is certainly putting pressure on all types of deals, new deals. To Tammy's point earlier, I think it's also putting pressure on levered buyers because it's certainly changing the dynamic of what the returns look like. And so I don't have a specific example for you, but we do know that rising interest rates will put pressure along with all the other things we mentioned earlier on new supply.
Tamara Fischer: And the only thing I would add to that, Dave, is I think there's still a willingness of lenders to lend on these projects so long as they pencil. So, I don't necessarily think that's slowing things down too much other than, as Dave mentioned, the increasing rate environment.
Operator: Our next question comes from the line of Ki Bin Kim with Truist.
Ki Bin Kim: Just want to go back to your comments about April pricing. Just curious if you're having to spend more on marketing or promotions to achieve that Street rate or are things holding pretty steady?
David Cramer: Ki Bin, it's Dave. Good question. Fortunately, we've had good success on not having to really deploy more marketing dollars. Our marketing dollars are really in line with what normal trends would be. And so if you think about last year, we had really good success with less. And so now, I think they've returned to what a normal marketing dollar spend would look like, and discounts are still below our historical averages at 2.2% versus typically 3% to 4% of discounting. So, we're having great success on both fronts, able to drive rate, drive occupancy and keep marketing and discounting down.
Ki Bin Kim: So let me actually rephrase that question. From a marketing spend standpoint, going back to normal, but does that still imply year-over-year declines? Or does normal mean year-over-year increases?
David Cramer: In the first quarter, we saw a decline. We would expect as we go through the year, we'll see more normal and you'll see normal increase in marketing spend according to our budget parameters. We don't see it going way out of control, but we will start to return to where you will see increases compared to last year over marketing.
Ki Bin Kim: Okay. And just a question on ECRI. Can you summarize what the program looks like today and how we should expect that to progress throughout the year, especially in light of the comments you made about rent roll-ups, which is pretty unique?
David Cramer: Yes. We're sticking to what we really outlined in the first quarter. I mean we're keeping the same frequency. We're keeping our rate changes on our existing tenant base in that low to mid-teens, and everything just seems to be working very well. So, we don't see any real change in our outlook. Typically, in the summer months, we'll get fuller and we may look at maybe how we look at a few things in the summer months. But right now, we're just keeping things as we have a model, and it's working well.
Operator:  Our next question comes from the line of Todd Thomas with KeyBanc Capital Markets.
Todd Thomas: Tammy, you commented that the company plans to pause a little bit and slow down on acquisitions in '22 as you digest the $2.2 billion of investments completed in '21. How are those acquisitions trending relative to underwriting?
Tamara Fischer: Good question. I think that was really how those assets are performing. It's really contributed to our conviction around our revised guidance, to be honest with you. The assets are performing well, and I'm going to say maybe 5% to 10% above our expectations in terms of our underwriting. And so we're very pleased with how the integration of those assets are going.
Todd Thomas: Okay. And then can you talk a little bit about -- has the REIT changed its return hurdles or criteria for new deals that PROs are bringing to the table? And I guess how does the change in NSA's cost of capital and currency in the form of OP and SP equity here impact acquisition efforts?
Tamara Fischer: Well, so I don't think our hurdles have -- the type of metric that we look at, which is typically levered and unlevered IRR have not changed. We certainly revisited the hurdle, which is now a little bit higher in light of the fact that our cost of capital has gone up. I would say that the OP and SP equity does not affect that. Our cost of equity is taken into -- and always has been taken into consideration as we think through whether a transaction is accretive to NSA or not. But I will say that the changing cost of capital is incremental to our view of what we want to acquire and how much we want to invest. But I think the story, the strategy is unchanged. I think all we're trying to say is that we will remain disciplined and that we will not grow for the sake of growth.
Todd Thomas: Okay. Can you just describe a little bit more about your return hurdle, what that change looks like? And I'm assuming that's -- I don't know if that's sort of the initial yield that you're targeting? Or I guess if it's more IRR-focused. But can you talk about that a little bit?
Tamara Fischer: We look at both. And really, Todd, our hurdles change on a regular basis. And I don't necessarily think that we've disclosed our hurdles historically, and I don't really want to go there today. We look at cap rates. We looked at levered IRR, and we look at unlevered IRR.
Operator: Our next question comes from the line of Ronald Kamdem with Morgan Stanley.
Ronald Kamdem: Just one quick one on L.A., and I know it's only 4% or 5%, but there is some price gouging sort of exploration in that market. Just can you remind us, has that impacted you guys in your numbers this year, if at all? And this is L.A. specifically.
David Cramer: Thanks, Ron. Good question. It's Dave. We didn't have anything really in the city of L.A. and that's really the last one that burned off. We had some county of L.A., and we really had 2 stores. And so it's just really none significance to us. And so that's really all I have to offer is now that everything is burned off and gone, we've gone back to normal business practices, but the impact is just very, very minimal in the -- where the restrictions were.
Tamara Fischer: And the good news is we also didn't get hit that hard by when the restrictions were in place. So...
Ronald Kamdem: Okay. Great. I think that makes sense. And I think sort of moving on, thinking about the entire portfolio, are there any markets that are left that are still restricted? Or is everything pretty much you can price it as US and so forth?
David Cramer: For us, fortunately, we have really nothing in our portfolio. There are still a couple of areas in California where they have wildfire, some restrictions from wildfires years and years ago that are still in place, but it doesn't affect our portfolio. So, we're fortunate to have everything open.
Ronald Kamdem: Great. And then my last one is, I think this has been asked like a couple of different ways, but I'll give it a shot too. I think, obviously, a very solid guidance increase. April seeing the numbers, you must be feeling pretty confident. When you're thinking about how this year is playing out versus previous years, is that basically -- is it the fact that you haven't really seen anything abnormal versus previous years that sort of gives you confidence that the unprecedented demand that you're seeing is here to stay? Is that sort of a takeaway why you feel confident enough to sort of raise the guidance here a month into the peak earnings season? Or am I thinking about that incorrectly?
David Cramer: Good question. And I think we've talked about a couple of points. But one of them is we talk about supply, new supply coming online is lessening, right? So, there's less of it coming. We think demand is very, very durable right now. We think all the fundamentals around demand is very durable right now. And if you look at where we're starting this particular spring leasing season with, we've had consistent growth in contract rate. We've had month-over-month growth in Street rate. We have a roll-up situation going on. We're at a high occupancy level. It just gave us a lot of confidence in what we think we'll be able to accomplish, particularly through the summer months, the really peak months and then how the back half of the year really burns off, right? And it really settles into normal seasonality. And we're just -- we're very comfortable at this point in time with all the things that are going out there at this point in time that gave us really good confidence to raise our guidance.
Brandon Togashi: And Ronald, like, for example, another point is that year-over-year move-in volume is naturally down because of what I said earlier about how we were filling up so much last year. But the top of the funnel, customer traffic and demand that we can see is right there. I mean it's really strong. So that's in addition to what Dave just remarked on.
Operator: Our next question comes from the line of Wes Golladay with Robert W. Baird.
Wes Golladay: With the cap rates potentially bottoming, is there any more conversations picking up with the potential PROs to join the platform?
Tamara Fischer: This is what -- I'm sorry, apologies for I being a little bit off here. But I would say that we continue to have conversations with high-quality private operators. There are really another half a dozen who may be qualified to join NSA. And as we've said in the past, it's a long process. It's a big decision for the operator. It's a big decision for us. I think that the current rate environment probably -- it might actually can give us an advantage at some point, but at this stage of the game, we're not seeing it. However, the conversations do continue. So, I think that's a positive.
Wes Golladay: Okay. And then mortgage rates had quite a big run. Would you expect much impact to demand if new home sales were to slow materially?
David Cramer: This is Dave. Good question. I think you could see -- it still would cause transition. And what I mean by that is maybe people are renting longer. And so they have to stay in their apartments. So, they have to stay in their current conditions and they're not buying a new home. But our business has been really around transition and around some of that need-based stuff. I don't know that a slowing housing economy would have a significant impact on us. I just think there are other factors that play along with it, at these current conditions that rising interest rates, rising costs of apartment costs. We're a pretty affordable option for a lot of folks. And I think that will help us as we go forward.
Operator: We have a follow-up from the line of Ronald Kamdem.
Ronald Kamdem: Sorry about that. Just looking at my notes, did you guys give the April sort of rents and occupancy numbers by chance? Apologies if you did.
Brandon Togashi: That's fine, Ronald. We did give the end of April month of 95.1%, which I kind of followed up and said that's a 40 basis point year-over-year positive spread. And on the rates, I mean, Dave remarked earlier that for the first quarter, our Street rates were up over 20% year-over-year and that was pretty consistent for April.
Operator: There are no further questions in the queue. I'd like to hand the call back over to Tamara Fischer for closing remarks.
Tamara Fischer: Thanks. I'll wrap up today by again recognizing and thanking our team for their commitment and focus on delivering outstanding results. We're certainly pleased with our Q1 results, and we're very optimistic about our prospects for 2022. And like to thank you again for joining our call and for your interest and support of NSA.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.